Operator: Good afternoon. My name is Victoria, and I will be your conference operator today. At this time, I would like to welcome everyone to the Trimble Third Quarter 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. Michael Leyba, you may begin your conference.
Michael Leyba - Trimble, Inc.: Thanks, Victoria. Good afternoon, everyone, and thanks for joining us on the call. I'm here today with Steve Berglund, our CEO; and Rob Painter, our CFO. I'd like to point out that our earnings release and the slide presentation supplementing today's call are available on our website at www.trimble.com, as well as within the webcast and we will be referring to the presentation today. In addition, we will also be posting our prepared remarks on our Investor Relations website at investor.trimble.com shortly after the completion of this call. Turning to slide 2 of the presentation, I would like to remind you that the forward-looking statements made in today's call and the subsequent question-and-answer period are subject to risks and uncertainties. Trimble's actual results may differ materially from those currently anticipated due to a number of factors detailed in the company's Form 10-K and 10-Q or other documents filed with the Securities and Exchange Commission. The non-GAAP measures that we discuss in today's call are fully reconciled to GAAP measures in the tables from our press release. With that, please turn to slide 3 for an agenda of the call today. First, Steve will start with an overview of the quarter. After that, Rob will take us through the remainder of the slides, including an in-depth review of the quarter, our guidance, and then we will go to Q&A. I would also like to briefly mention that we will be attending the Baird 2018 Global Industrial Conference on November 7 in Chicago. With that, please turn to slide 4 and I will turn the call over to Steve.
Steven W. Berglund - Trimble, Inc.: Good afternoon. The third quarter was largely consistent with prior quarters. We delivered double-digit organic growth and 32% operating leverage that resulted in EBITDA of 23% and year-to-year EPS growth of 26%. The strength was seen across all segments in most regions. During the quarter we launched a period of very active and positive engagement with our markets. In September, October and November, we have conducted or will conduct five users conferences. SketchUp's conference 3D Basecamp was held in September with more than 1,200 attendees. The focus was on 3D modeling innovations and workflows for architects, designers and makers. Transportation's conference in.sight was also held in September with more than 2,100 fleet operators, shippers and logistics providers. The key theme of the conference was the unique and comprehensive solution available from combined PeopleNet and TMW capabilities. The event also marked the full transition to the unified Trimble brand. e-Builder's user conference Elevate was held in October with over 500 participants. The user community was primarily private and public project owners. Beyond the traditional conference emphasis on the introduction of greater product functionality, the focus was on the potential of e-Builder and Trimble combination and the breakout of benefits for the user, which will become available over time. Viewpoint's users conference Collaborate was also held in October with over 2,200 attendees, most of them contractors. The focus was on the full rollout of the office team, field, information architecture. The additional theme at the conference was also on the potential the Viewpoint-Trimble combination and the path to fully integrated information. Including, for example, the real-time integration of machine performance into the enterprise system. Trimble's flagship users conference Dimensions will be held next week in Las Vegas with more than 4,000 participants. The majority of the audience will consist of contractors, engineers and geospatial professionals. Dimensions has become a central feature in Trimble's go-to-market identity and has become a construction industry fixture. The primary emphasis will be on education and the transfer of knowledge from user to user. We will also release several new products and demonstrate emerging new technology capabilities such as autonomy, augmented reality and vision tracking. We are finding these close engagements with the market to be highly validating in three respects. The first is increasing belief in technology as a transformative force, the number of true believers is growing. The second is growing understanding that tighter integration of information solutions enhances the possibility of breakout results. The third is a belief that Trimble is a unique force in assembling and integrating workflow solutions. In particular, we are receiving reinforcement that we are on the right path and are focused on integrating the physical and digital worlds. The Viewpoint and e-Builder conferences also provided visible evidence of early success from the collaboration among Trimble, Viewpoint and e-Builder. Both acquired businesses are on track with the deal financial models and the level of synergistic innovation is exceeding expectations. The overall picture is very encouraging. We are anticipating closing the year with fourth quarter revenue performance consistent with the strategic growth model we identified at our Investors Day and year-to-year improvement in the financial model. Total year performance will end well above our strategic profile. We also enter 2019 with arguably the most robust portfolio in Trimble's history. The contribution from each of the vertical market components is well-balanced. We have regional platforms in place that will allow us to provide international market leadership and our mix of software and hardware is steadily shifting to software, which will enable us to maintain our position as the premier provider of value in our markets. We have recently announced two strategic moves that will incrementally improve our portfolio. Brazil, although currently a country in some turmoil, is an important market for us, both in the present and future. We have experienced significant Brazilian growth year-to-date on the strength of agricultural sales. We have now enhanced our Brazilian position in transportation with the recent acquisition of Veltec, a well-established provider of fleet and monitoring services to the Brazilian transportation market. Although the acquisition was of modest size, it provides us with a strong platform to establish an expanded presence in the general trucking market. We also see it as potentially reinforcing our existing positions in agriculture and plantation forestry. Those markets are unique in a number of different ways, and one of their limiting constraints tends to be transportation logistics. With the new capability provided by Veltec, we hope to augment our precision farming and logistics capabilities and provide a more holistic response to the challenges faced by Brazilian farmers and foresters. The other strategic move announced this morning is a strategic collaboration between HCSS and Trimble. HCSS has been a very well-respected provider of construction management software to the heavy civil market for the three decades. Its market presence has been centered on its core capabilities in bidding and estimating. The focus of the intercompany collaboration will be on selected integration of the two companies' software offerings to promote a tighter and more seamless workflow for the contractor. In addition, we anticipate Trimble will become the primary distribution arm for HCSS outside North America. This addition to the already robust construction information architecture evolving under Trimble and Viewpoint will provide compelling value to the contractor and incrementally bolster Trimble's leadership position in the heavy civil market. Although generalized concerns about the macro economy are being expressed in the media, we are not experiencing market conditions that cause us to question our optimism for 2019. That said, we are seeing a number of what might be called micro effects. In isolation, they do not rate much attention, but in aggregate they had a marginal effect on the third quarter and will have some impact on the fourth. They can be broadly categorized as discrete, geopolitical and trade. The discrete impacts include lower September year-end spending by the U.S. government than we have traditionally seen; severe droughts in Australia and Eastern Europe, which have impacted regional agriculture sales; and the Northern California fire, which disrupted our operations in Redding. The geopolitical effects include foreign exchange volatility, which has created headwinds in some countries, such as Turkey, Russia, and Brazil; current and potential new Russian sanctions, which have not yet had a direct effect on us, but tend to intensify a background negativism towards U.S. products; and Brexit-induced uncertainties and resulting negative UK investment sentiment. The direct financial impact resulting from the application of U.S. tariffs remains a peripheral issue for us, at least for the moment. We are more concerned about the potential longer-term secondary effects, as other countries respond to U.S. tariffs, either directly or indirectly. For us, the clearest example of a potential impactful response has been the Chinese restriction on U.S. agricultural exports. The resulting uncertainty on farm incomes may impact U.S. farmers' willingness to invest. We can at least partially arbitrage any impact in the U.S. by intensifying our engagement with markets such as Brazil, which are eager to replace U.S. sources of supply to China and require precision farming solutions to step up production. At a more general level, we are concerned that aggressive U.S. actions will provide justification for greater economic nationalism around the world, which could take multiple forms, including increased explicit favoritism for preferred national industry champions. The improving operational performance over the last several years has enabled us to intensify our emphasis on long-term strategic outcomes. I have previously described our internal 3-4-3 net – framework that places strategic outcomes on an equal footing with quarterly results. The beginning point in that process is to create a non-bounded three-year concept that represents breakout performance and then to reverse engineer the execution back to present day. Our objective is to perform to potential, with potential being represented by the penetration available in our markets. The objective is to surpass the incrementalism of more conventional budgetary processes. Before turning the call over to Rob, let me point out that 2018 represents Trimble's 40th anniversary. The company was founded in 1978 by Charlie Trimble, who was CEO until 1998. Charlie established the strong tradition of innovation we still leverage today. I followed Charlie in 1999, and the two of us represent the entire CEO leadership over the 40-year history, which makes us quite unique among publicly-traded companies and has enabled both strategic consistency and deep market relationships. The earliest experiments on GPS-based construction machine control began late in Charlie's tenure. That technology has evolved and has transformed site preparation and road construction. Recently, we opened a new indoor test facility in Dayton, Ohio, which is a dome supported by air pressure, in which we can develop and test machine control systems using multiple large machines simultaneously. An image is included on page 7. This building represents our ongoing commitment to innovation as well as our willingness to step up and apply the scale and scope necessary to compete successfully in today's market. Rob?
Robert G. Painter - Trimble, Inc.: Thanks, Steve. Let's start with the punch line. Our third quarter performance was strong with total revenue growth of 19% and organic revenue growth of over 10%. This represents our fifth quarter in a row of double-digit organic revenue growth. In addition, we outperformed at the operating income and EBITDA margin levels. And we exceeded our third quarter's earnings per share guidance, delivering $0.49 earnings per share. Our operating cash flow was strong. And we continue to hold a favorable strategic position in the marketplace. Let's now turn to a detailed review of the results, starting on slide 8. Third quarter total revenue was $805 million on a non-GAAP basis, up 19% year-over-year. Breaking that down, currency translation subtracted less than 1% and acquisitions added 9%. Organic growth was over 10%. As previewed on our last call, as of the third quarter, we are now reporting a non-GAAP revenue measurement that excludes the effects of deferred revenue write-downs associated with acquisition accounting. Note that prior periods have also been restated to reflect this non-GAAP measure and that historical information is available on our Investor Relations website. Gross margin in the third quarter was 57.9%, up 200 basis points year-over-year, reflecting favorable pricing dynamics as well as favorable product mix, which was driven both organically and inorganically. The adjusted EBITDA margin, which includes income from our joint ventures and equity investments, was 23% in the third quarter, up 180 basis points year-over-year. Operating income dollars increased 32% to $167 million with operating margins increasing 210 basis points to 20.8%. Our non-GAAP tax rate declined from 23% to 19% year-over-year, reflecting U.S. tax reform. Our net income was up 23%. And non-GAAP earnings per share in the third quarter were $0.49, up $0.10 or 26% year-over-year. Reflecting our low capital intensity and attractive cash generation profile of the business, deferred revenue was up 28% year-over-year. And net working capital inclusive of deferred revenue was 3% of our trailing 12-month revenue. Cash flow from operations was $117 million and was up 69% year-over-year, driven by growth in net income, favorable working capital dynamics, and the growth in deferred revenue balances. Year-to-date, operating cash flow was up 19% on a year-over-year basis. To cover our capital structure, we closed the quarter at a gross debt level of just over $2 billion and net debt of just over $1.8 billion, representing 2.75 times net debt to adjusted EBITDA on a trailing 12-month basis, which is ahead of plan and favorable relative to what we have previously communicated. That leverage ratio of 2.7 times incorporates approximately eight months of financial results from e-Builder and three months of results from Viewpoint. If a full 12 months of results from e-Builder and Viewpoint were incorporated, that metric would be lower still. Our balance sheet is demonstrably strong. Turning now to slide 9. Let's go through the revenue details at the reporting segment level, which are presented on a year-over-year basis. Organic revenue is up in each segment. Buildings and Infrastructure delivered 7% organic growth with continued growth in both civil construction and buildings. With acquisitions, the segment was up 36%. Geospatial delivered 10% organic growth, driven by discrete end market applications. Resources and Utilities was up 14% organically with North America and Europe regions leading the way to both aftermarket and OEM customers. As a reminder, the third quarter of 2017 was Müller's first quarter under Trimble and created a favorable comp for this quarter. Finally, the Transportation segment was up 11% organically, driven by subscription revenue growth. This slide also presents a one- and three-year growth trend for the segments, which fits the profile of the model we articulated at Investor Day back in May. To put up a finer point on the revenue mix we had in the quarter, we saw relative strength in a couple of areas. First, the Transportation segment performed exceptionally well in the quarter and came in ahead of expectations. Second, both the e-Builder and Viewpoint acquisitions performed well in the quarter, especially when looking at the underlying growth in bookings and mix towards subscription revenue over perpetual license revenue. Steve hit on the negative micro impacts we experienced in his commentary. Slide 10 provides an overview of the geographic revenue mix. Between the relative strength of the U.S. economy, the strong quarter in Transportation and the North American centricity of recent acquisitions, we see the portfolio mix tilting towards North America in the quarter. The trailing 12-month performance reflects the strength we've also seen out of Europe. Let me reiterate commentary from last quarter, where we highlighted that China represents less than 5% of company revenue. And separate, but related to trade issues, I'd also like to note that China represents a small portion of our country of origin cost of goods sold. So while tariffs and trade barriers to trade are a headwind to growth, we do feel the current situation is well within our ability to manage. Let's turn to slide 11 and look at our revenue mix by type. For the quarter, software, services and recurring revenue reached a record level of 53% of total revenue. The slide presents the data on a trailing 12-month basis with 50% or $1.5 billion of software, services and recurring revenue and 50% hardware. Within the software revenue elements, recurring revenue, which is mainly comprised of subscription revenue and support and maintenance agreements, is now $865 million on a trailing 12-month basis or 28% of total revenue. Software and services, which is mainly comprised of perpetual and licenses as well as professional services, represents $630 million of revenue on a trailing 12-month basis. Each revenue type grew double digit, reflecting strength across the entire business. Let's now move to slide 12 and go through the operating income details at a reporting segment level. At a company level, operating income was 20.8% with operating leverage of 32%. Drivers of operating income growth were similar across each of the reporting segments where gross margins expanded based on product mix and pricing. When combined with operating expense management, this enabled us to significantly expand our operating margins over 200 basis points over the third quarter of last year. Turning now to page 13, the 8 listed metrics are financially representative of our identity as a technology company. From revenue mix, growth, contracted backlog, and our low capital intensity, our metrics demonstrate the strength of the Trimble financial model. ARR, or annualized recurring revenue, stands at approximately $1 billion in the quarter. This is the first time we have presented this metric and this metric demonstrates the attractiveness of the underlying revenue profile. Before turning to guidance and update on acquisitions, Viewpoint and e-Builder continued to demonstrate strength in the quarter with strong bookings growth in both businesses. On the e-Builder side, indicative of their strong leadership and process strength, we have moved some of our project management solutions over to their management team to run. On the Viewpoint side, in the months since we have owned the business, it is clear that we have acquired a leader in construction management software. The integrated suite of office, team and field workflows continues to mature with the recent release of a native integration between the ERP and the management of time, equipment, and labor in the field. This integration enables project controls in a unique manner in the industry. Further, we are already demonstrating client success of cross-selling solutions. Finally the financial model is healthy with the combined revenue mix at over 70% recurring and a bookings mix that is increasingly shifting towards subscription over perpetual. As Steve mentioned, we acquired Veltec a few weeks ago, and on slide 6, you will see an overview of the business and the strategic rationale. The Veltec business is at the beginning stages of a conversion to SaaS. Therefore, the top- and bottom-line headline financial results do not tell the full story of what is an attractive business in a compelling market context in Brazil. Let's now move to the fourth quarter and total year guidance on slide 14. For the fourth quarter, we expect non-GAAP revenue of $791 million to $821 million and EPS of $0.44 to $0.48 per share. Two comments to add color to our fourth quarter guidance. First, revenue. On one side, our guidance reflects incremental uncertainty we see with trade and geopolitics, the strengthening U.S. dollar and the micro effects that Steve mentioned in his commentary. On the other side, our guidance reflects the competitive strength of our franchises, continued organic growth and acquisition performance. One note on the Veltec acquisition, it does not move the revenue needle in the fourth quarter as it is in the early stages of a SaaS transition. Second, EPS. The implied EPS reflects the resiliency of our model and the actions we have taken over the last couple of years to balance our exposure and to exit non-core activities. In addition, I'd like to remind investors that in the fourth quarter, we have our biannual Dimensions user conference, which is an incremental multimillion-dollar expense. In addition, Veltec is dilutive for two to three quarters because of the timing of the SaaS transition. And lastly, equity income from our joint ventures normally trends down sequentially in the fourth quarter. Moving to full year 2018 guidance, for the full year, we expect non-GAAP revenue between $3.13 billion to $3.16 billion, and we expect full year non-GAAP EPS to be between $1.89 and $1.93, which is above our previously announced range. Let's step back for a moment and put our full year 2018 financial expectations into context. With an assumption of achieving fourth quarter results within our guidance range, the compelling value we are creating in the marketplace is translating through to our financial model. For 2018, we expect to deliver total revenue growth in the range of 18% to 19% with approximately 10% organic growth. We expect to achieve gross margin expansion of about 200 basis points as a result of pricing discipline and through organic and inorganic growth in our software businesses. Further, we expect our total year revenue mix to be approximately 50% software, services and recurring. Walking down the P&L, we expect that our management of the portfolio and the operating expenses will translate into EBITDA margin expansion of about 200 basis points and EPS growth greater than 30% year-over-year. Finally, we expect to achieve a record level of operating cash flow. This is a testament to our customers who are deploying our transformative technology, and to our employees around the world who make this possible. Before moving to Q&A, a brief word on 2019. While it's too early to say anything definitive about 2019, I will comment that our current expectation is to achieve the growth and margin expansion model that we put forward at Investor Day. This view is 6% to 9% organic growth and operating leverage in the range of 25% to 30% over a multiyear period. This baseline provides an initial view of how we see the business next year. In addition for 2019, specifically, we expect our recent acquisitions to provide a little more than 3 points of additional growth. We also expect to incrementally accelerate the transition of license revenue towards subscription revenue, primarily in our Construction business and, secondarily, in our Transportation business. Let's now take your questions.
Operator: Your first question comes from the line of Ann Duignan with JPMorgan.
Ann P. Duignan - JPMorgan Securities LLC: Hi, good evening.
Steven W. Berglund - Trimble, Inc.: Hey, Ann.
Ann P. Duignan - JPMorgan Securities LLC: Perhaps, first just on the quarter, if I look at your operating expenses, it looks like R&D grew at 22%, sales and marketing 19% and general and admin at 24%. Can you just talk about – I know you mentioned the Dimensions conference, but should we take the Q3 now that we have the new acquisitions in there and kind of use Q3 as a run rate for 2019 for those line items or is there anything one-off that occurred in Q3?
Robert G. Painter - Trimble, Inc.: Well, what would be seasonal in Q3 is, of course, things like a PTO and vacations. But in terms of, let's say, the profile and the mix of the operating expenses, it's a reasonable baseline.
Ann P. Duignan - JPMorgan Securities LLC: Yeah, because there shouldn't be much seasonality in R&D or sales and marketing or G&A?
Robert G. Painter - Trimble, Inc.: No, aside from what you would see is things like different PTO policies we have in the business or some are people taking PTO and – right. That's a thing that would move expenses from quarter to – operating expenses from quarter to quarter. We also have trade shows, but you already picked that up as Q4.
Ann P. Duignan - JPMorgan Securities LLC: Yeah. Yeah. Okay. Thank you. I just wanted to make sure we're modeling that correctly. And then from a more structural standpoint, I mean, I know you talked about U.S. farmers and the China tariff and being able to look to Brazil to offset any decline in sales from the U.S. But I'm assuming you wouldn't be able to offset dollar for dollar, immediately. I mean you have to build out a business in Brazil before you'd be able to like make up for any decline in the U.S. Is that the right way to think about this?
Steven W. Berglund - Trimble, Inc.: I think that's probably a sober way of looking at it, Ann. First of all, we haven't necessarily seen that kind of effect in the U.S. We're anticipating that there will be some effect. But then during the quarter, I was in Brazil and the Brazilian farmers are moving very quickly. So, I don't know exactly what will offset what and to what degree. But I think that, one, we have yet really to see any real effects in the U.S. So, we're being a little sober in terms of projecting an effect. But then I wouldn't doubt given the growth we've seen year-to-date already in Brazil and the temperament in Brazil to invest and invest heavily, I think, maybe we could make a pretty good go of it in terms of offsetting effects, but we'll have to see.
Ann P. Duignan - JPMorgan Securities LLC: Okay. And then just finally just on the transportation acquisition in Brazil. I mean if we look at an industry that behaves pretty irrationally, it's the transportation industry, specifically in Brazil, can you talk about any kind of volatility you might anticipate there or what's the size of that acquisition, or how much did that add to net debt-to-EBITDA, just any way of dimensioning the kind of risk we might see from that business?
Robert G. Painter - Trimble, Inc.: Yeah. So in terms of the kind of relative size, it fits the profile of more of our tuck-in-size acquisitions, in that kind of $25 million or less purchase price range. So, I'm giving range when I say that. The business itself is one of the leading providers in the market. And when we look at the customer base, we look at the customer base to understand volatility, we might expect more – because it's an aftermarket business, this isn't an OEM business. So, I think of the volatility different, an OEM versus aftermarket. In fact many of the customers we have in the aftermarket are the multinationals who are now asking us to provide a global solution, because we may be working with a given customer in North America, Europe and the U.S. already today.
Ann P. Duignan - JPMorgan Securities LLC: Okay, that's helpful and I'll follow up offline. Thank you. I appreciate the color.
Robert G. Painter - Trimble, Inc.: No problem.
Operator: Our next question comes from the line of Jonathan Ho with William Blair.
Jonathan F. Ho - William Blair & Co. LLC: Hi. Good afternoon. I just wanted to start with the Viewpoint and e-Builder acquisitions. I think you talked about it performing well this quarter. I just wanted to get a sense now that you had both businesses for a little bit of time, what may be surprised you relative to your expectations? And what, within those businesses, has done particularly well?
Steven W. Berglund - Trimble, Inc.: Well, to be honest, as I think that if there have been surprises, they've been positive surprises. In terms of how well the three management groups have been able to coalesce and create common cause. And then, down in the organizations, the honest enthusiasm for pursuing the vision that we certainly were pursuing when we acquired them. So I would say that, at the high level in terms of the intangibles of it, the surprises have been, if anything, positive or at least within expectations, but maybe weighted towards the positive side. I think there's a fair amount of complexity to wade through. People are kind of persistently going at wading through the issues in terms of, okay, product rationalization and dividing up market space and determining go-to-market strategies. So I'll let Rob deal with the details of it to the extent that there are details here. But I would just color the thing pretty positively. And would say that there have been no meaningful negative surprises that have come about as a result of the deals. Employees are in place, management's in place, everybody is pretty much converged on which direction to pursue. Rob, do you have anything?
Robert G. Painter - Trimble, Inc.: And to add maybe a little color, let's say, if I take Viewpoint, for example, on the financial model, as we're seeing a faster shift than we expected. And I'd call this a positive, a faster shift onto the subscription model over the perpetual for the new bookings. So when we look at the ratio of that for new bookings, it's a fair amount ahead of where we expected it to be. So it's clearly a mid- to long-term tailwind for the business and for the business model. The other place, where I'd say, from a business model perspective, that's been an incremental surprise is there's a conversion that happens from the business, from the support and maintenance base over to a subscription. And so we're generating – the team is generating an uplift on those perpetual, maintenance fees that's well ahead of what we expected it to be. And so again, those are the kind of underlying, let's say, metrics and trends that will bode well for the business in the mid to long term. On the e-Builder side, it was a business that was growing at a very healthy clip and quite profitable when we acquired it, and that has continued. And so we see significant year-over-year increase in the underlying bookings. And so that helps us as we look forward now and starting to look forward into 2019 and beyond to have that much more confidence in the business model as we go forward.
Jonathan F. Ho - William Blair & Co. LLC: Perfect. And then just as a follow-up, Steve, you referenced the multiple micro impacts that you're seeing that roll up in aggregate to be maybe a little bit more meaningful. Is there a way that you can maybe provide a little bit of context on maybe rank ordering the size of some of these impacts? Or giving us a sense of magnitude around each of them?
Steven W. Berglund - Trimble, Inc.: Well, I think none of them actually at this point rise to, let's call it, the status of kind of being worth talking about. I think it's just the aggregation of them caused the – it took a little bit off the edge for the third quarter. In terms of those that I would tend to look at most seriously at this point in time, I think it's probably the issues around trade. I think that one has longer-term implications. And I think probably, from our perspective, longer term than are generally assumed out there in the wider community. For example, I suspect that the switch from Chinese purchases of U.S. agricultural product to Brazil is not a temporary issue, but is going to effectively turn out to be permanent or close to permanent. The one effect that did affect us and kind of changed the trend of recent times is foreign exchange, just the general foreign exchange rates. And then particularly the – again, kind of the micro effects in Turkey and Russia and Brazil are affecting buying patterns there. But foreign exchange was slightly a negative impact to us in revenue in the quarter. So it's having that effect. But I would say, more significantly, it is having an effect in terms of the markets in Turkey, Russia and Brazil. So at this point in time, none of them are I'd say material to us, but some have the potential for becoming longer term and more meaningful issues.
Jonathan F. Ho - William Blair & Co. LLC: Thank you.
Operator: Our next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs & Co. LLC: Good afternoon and good evening.
Robert G. Painter - Trimble, Inc.: Hi, Jerry.
Jerry Revich - Goldman Sachs & Co. LLC: Rob, I'm wondering if you could provide the kind of subscriber user growth that you're seeing in e-Builder and Viewpoint? And can you share with us what the apples to apples organic growth look like for each business?
Robert G. Painter - Trimble, Inc.: Well, in the e-Builder – well, actually both businesses, we're talking double-digit increases. So the e-Builder business predominantly serves the owner segment, so public and private owners. And that was a business that was growing over 20% a year when we acquired it. And that is playing through, the bookings year-to-date are growing faster than that. So I think that's the right way to look at it. We have well over 100,000 users who work on the e-Builder platform, managing over – or working on over 250,000 projects. Give you a data point, there has been over 7 million log-ins into the e-Builder system in 2018. So just from a sense of intensity of use, it's a mission-critical system for owners to manage those projects. And then on the Viewpoint side, to let's say go back to when we introduced the deal, that's a company with over 8,000 customers today, that segment roughly a third, a third, a third, mechanical/electrical/ plumbing contractors, civil contractors, and building contractors and each of those have their own unique, let's say, strategies and each of them uniquely map up to different elements of Trimble. And so we're seeing some really interesting activities happen between, let's say, the mechanical/electrical/plumbing team where we have estimating technologies in Trimble that maps well and favorable to the job cost system that Viewpoint manages and then that can round trip to understanding who the customers are from Viewpoint. And we actually had a couple of examples of selling field technologies that we have in the MEP realm to those contractors and starting to make those introductions. So, good things happening in both.
Jerry Revich - Goldman Sachs & Co. LLC: And Rob, are you willing to share with us the churn that you're experiencing on those businesses?
Robert G. Painter - Trimble, Inc.: The easiest one to describe is from the e-Builder business. So, the net – again, I would characterize it in terms of net retention ratio. The net retention ratio is over 100%. I think it's around 103%, 104%. That means that we're driving penetration in up-selling the existing base at a faster rate than which we're churning. So, the churn is a low-single digit we see in that business and it's very similar to the profile of e-Builder. In fact, to go and bend (38:57) another sort of – sorry, similar to profiling Viewpoint, that what we see in e-Builder and Viewpoint, I think a data point for that is when we're converting the customers who are already on a support and maintenance agreement over to the subscription, that's happening in the form of an uplift in the revenue. So in other words, as they convert over to subscription base, it's at a multiple times the level of what they're paying today. And we're doing that by value delivery. So, the ability to bring, we call it, the OTF, office/team/field solution to those customers, is delivering value that then translates into ability to upsell that. And so, that would look like, from a net retention perspective, if you're looking at that tranche of revenue, you'd see a significant net retention ratio on those.
Jerry Revich - Goldman Sachs & Co. LLC: Okay. And you folks talked about expectations for a 6% to 9% organic growth in 2019. Is that net of the transition to Software-as-a-Service? And can you just expand, I think you – correct me if I'm wrong, but I thought you mentioned that you're pushing towards a Software-as-a-Service transition in Transportation as well. Can you flesh that out a bit?.
Robert G. Painter - Trimble, Inc.: Yeah. Sure, Jerry. So, the short answer is yes, that is inclusive of the transition, the 6% to 9%. Where we end up in that 6% to 9%, I think, correlates to, let's say, the speed or pace, velocity of the transition, but it is planned within that range. And it's consistent with what we had put up at Investor Day. To give you a couple examples – specific examples in the construction realm, we've already been talking about it from Viewpoint and that accelerates the other business that has a conversion is the SketchUp business, the 3D modeling software that we have for architects, designers and makers. And so, we're beginning a transition in that business. We're actually beginning now, but we're really – for all intents and purposes, really will kick in, in the first quarter. And so, that's a significant transition for that business. And then, in the Transportation realm, we have subscription – we already have subscription offering in PeopleNet. That's the base business model, the onboard computer, and then it comes with a subscription associated with it. In our enterprise business, more the TMW software side, which is a Transportation Management System. So, it's the backbone system for our trucking company. We have a subscription today, but it's really primarily – if you look at the revenue base today, it's primarily a license sale with a long-tail support and maintenance agreement associated with it. And we're beginning to, let's say, speed that up and focus on that. So, that'd be the area in Transportation, Jerry.
Jerry Revich - Goldman Sachs & Co. LLC: Okay. Thank you very much.
Robert G. Painter - Trimble, Inc.: You bet.
Operator: Your next question comes from the line of Rob Wertheimer with Melius Research.
Rob Wertheimer - Melius Research LLC: Hey. I think that's me. Rob Wertheimer, Melius Research.
Steven W. Berglund - Trimble, Inc.: Hi, Rob.
Rob Wertheimer - Melius Research LLC: All right. Great. Hello. Excellent. So, you are fairly clear in your comments, but my first question is just, can you characterize your feel for the construction markets right now? Seems relatively hot. Labor is tight. Are you seeing pockets of weakness really outside of government or not? And as the tightness driving any incremental interest in going digital for labor saving reasons? My first.
Steven W. Berglund - Trimble, Inc.: Let me give you the high-level view and maybe Rob's got some detail to throw out there. But I would say at this point in time, we're not seeing, what I would recall, pockets of weakness that are meaningful. I think there are certain regions of the world that are slower, but none of the major regions at this point in time. So, I think that we're kind of reading the headlines, like everyone else, and speculating a little bit about the future. But at this moment in time, I don't think we're driving anything from the construction markets that would cause us concern ourselves in terms of direct evidence. A lot of contractors are still sitting out there with two years worth of backlog and, as you point out, are desperate in terms of finding ways to complete that backlog. So, I think that hard to put specific data around it, but I think that the shortage of labor is definitely impacting the industry. It's a major complaint among contractors. So, I think that right now the markets are – remain strong and we're seeing kind of no shifts at this point.
Rob Wertheimer - Melius Research LLC: Great. Perfect. And the second question is more just how you approach it? I mean the Veltec acquisition is interesting. Is this a situation where you expect to be bringing a lot of either product or technology or streamlining a software, or is it standalone? I'm just a little bit curious since you have strengths in that area, how that translates internationally to what do you bring to acquisitions?
Steven W. Berglund - Trimble, Inc.: Yeah. So, I think that kind of looking at the drivers of it. First, Brazil is just too big of a market to ignore in the long term, okay? It's got its current set of issues. It's relatively confused place at this point in time. But you look at the 5 to 10, it's just too big of a market and too vibrant and robust of a market to ignore. It's kind of starting point. We have a strong presence in agriculture. We have taken steps over the last few years to strengthen our position in agriculture in terms of our go-to-market capabilities. Construction right at the moment is a fairly dormant issue for us. Given the issues of the last few years in Brazil, there isn't much of a construction market really to pursue. And so, we're just waiting for that to revive. But the market that is – where there's definitely a need set in Brazil is transportation. Brazil is inherently limited by its transportation system, whether it be road or rail. And so, there's a lot of opportunity for us to bring technology into some of these realms and have an impact. So, I think we pointed out that, okay, we've got some, I think, special plays into – particularly into agriculture and forestry where we can take our transportation solutions into those industries on kind of a focused basis. But then I think that in terms of what does Trimble have to offer Veltec, what does Trimble have to offer Brazil. There is a lot of product functionality. There is a lot of product capability sitting in our repository outside of Brazil that we can bring to Brazil. So, we can actually stage manage in the next year or two a great deal of innovation in Brazil, simply by bringing in capabilities from other parts of the world. So, all in all, we see Veltec as a platform play, it's a beginning point, it's a beachhead, and we believe we can grow it.
Rob Wertheimer - Melius Research LLC: Great. Thank you, Steve.
Operator: Our next question comes from the line of Gal Munda with Berenberg Capital Markets.
Gal Munda - Berenberg Capital Markets LLC: Hey, thanks for taking my question. The first one is just around the kind of predictability of your business model. If you think about it, you said ARR is approaching around $1 billion now, which is around one-third of your revenue. So, how do you see your margins being exposed, if you had to compare it in terms of the risk during the previous cycles? So, it's really of how defensive your margin is this time around compared to what happened in, say, 2014 or even 2009 period? Thank you.
Robert G. Painter - Trimble, Inc.: So, good afternoon, Gal. So hey, one thing I'd probably reference back to one on the Investor Day things we showed was the portfolio mix of the business going back. I think we compared it 2012 to 2017, but you could – 2012 could be a proxy for 2014 timeframe as well. And if you go back a few years ago, the business model had, I think, over 70% of the revenue – or excuse me, over 70% – 75% of the operating income was coming from two of our segments, Geospatial and Resources and Utilities. And I think it was about 60% of the revenue was coming from Geospatial and Resources and Utilities. You fast forward to 2017 and – want to say, 2017, that 76% of operating income that came from two reporting segments moved to 48%. And so, when you look at the balance we have of revenue and operating income in the business today, it's fundamentally different than where we were, whether you're comparing to 2014 or 2012. When you look at the revenue mix, which is what you're getting at, when you look at the level of recurring revenue we have today versus the level of recurring revenue we had going back a few years ago, that continues to move significantly up and as you note the $1 billion of ARR, if you're looking at the recurring revenue mix. That clearly brings more predictability to the business model, more software in the – obviously, more software in the portfolio as well. So as we think about then what that could look like and if you were modeling what that could look like on the up or the down, I guess, by the way, it's, I'd say, much less exposed to any individual given segment than we have been in the past.
Gal Munda - Berenberg Capital Markets LLC: Okay. Perfect. Thank you. Just have a follow-up in terms of the business model transition, there's been a few questions on it, but I just – I'm trying to think about the software part of the business. I don't know if you've ever looked at or thought about the way the revenues are growing at the moment, especially in terms of the reported revenues for software compared to the actual underlying bookings growth as a total. Can you give us any sort of indication of how much of a headwind to revenue compared to bookings this is today in terms of the new licenses? Thank you.
Robert G. Painter - Trimble, Inc.: Well, what we see is that – and I think I'm probably making your point. What we see is the bookings are growing faster than the revenue that we're recognizing in the businesses. I don't have a ratio off the top of my head, I'm sorry, to quote for that. And then we could have different – right, we have a number of different types of software businesses between the perpetual we have and the SaaS businesses we already have, some in transition and then different segments. I'm not sure even at a company level that it may be like looking at our gross margins that it tells an incomplete story. But in the businesses like e-Builder, Viewpoint, and some of the other software business, I'll say, larger software businesses taking an 80/20 principle, we do continue to see the bookings growth outstripping the revenue that we're recognizing. And then as we think about the way we manage the business and we think about playing that forward, let's say, into 2019 or into a future period, particularly if you're looking at the recurring revenue, you can get a very good sense of what should be on the books for 2019. And then, as we plan the growth model for businesses, it makes for a relatively straightforward conversation around what the go-get is to complete the revenue, let's say, for a following period. And then from that aspect, you can look at the pipeline coverage you have against that go-get revenue. And then, we have metrics that we track for each of those stages of what arguably is pipeline management.
Gal Munda - Berenberg Capital Markets LLC: That's helpful. Thank you so much.
Operator: Our next question comes from the line of Richard Eastman with Baird.
Richard Eastman - Robert W. Baird & Co., Inc.: Yes. Good afternoon. Hey, Rob, can we just talk for a second or two about the Building and Infrastructure business? With the core at plus 7%, my question would just be, did that fall a little bit short of plan? And if yes, is that part of the subscription move to deferred revenue? Or is either one of the pieces, BIM or civil construction, did they come up a little bit short in the quarter? Or I'm just curious if you've seen any kind of slowdown? If not, if that's a software-driven headwind?
Robert G. Painter - Trimble, Inc.: Sure. So the Buildings and Infrastructure segment was a little bit short of revenue. Transportation was the segment that was ahead of the expectations. So we come into the quarter with an expectation by segment or by business, and there's always puts and takes along the way. Within Buildings and Infrastructure, if I look at it, we can look at it by revenue type or we can look at it by end market. If we're looking at it by end market, and it's more the vertical and horizontal construction, the vertical construction was at or really above the plan we had in the quarter. And on the horizontal side, a little bit short. Steve mentioned one of the micro effects on the U.S. government orders. So that's one of the businesses in the civil construction that got nicked a little bit there, that's hardware. From a – now if I'm going, I'm backing up and I'm talking software, no headwinds to speak of on the software. One area where we came, just give you an example, a couple million short on software would have been actually in Viewpoint versus my expectations. But that was on me, because when we acquired the company, it was under 605 accounting. And so in the process of acquiring them, we had to move them to 606. And so we made estimates for what the 606 revenue would look like, and that was different by a couple million. That has no reflection whatsoever on the business or the underlying health of the business. So that would be an example that really to me had no meaning, underlying meaning associated with that.
Richard Eastman - Robert W. Baird & Co., Inc.: Again is that – that presumably would influence the op profit there, because there wasn't a great deal of operating leverage in this business in the Buildings and Infrastructure. And again, I'm thinking, is that the influence of the civil construction business? Or again, move from 605 to 606 probably would do that, too?
Robert G. Painter - Trimble, Inc.: Well, really, the 605, 606, I wouldn't go there to talk about op leverage.
Richard Eastman - Robert W. Baird & Co., Inc.: Okay.
Robert G. Painter - Trimble, Inc.: Viewpoint in its first quarter under Trimble, profitability – percent profitability is below the segment average. And so that's – if you were trying to maybe look versus last year and see a sequential up and wondering if you would have seen a sequential flat or a sequential up from Q2 to Q3, we didn't see that. Or if you're looking year-over-year, you see it go down – the OI percentage go down year-over-year. And that's really discretely the Viewpoint effect. So you take Viewpoint out and the margins were up in the business. So we know where Viewpoint is in its cycle in the transition. And we see an actually really short runway for that to be above, if really not well above, the segment average. And all of that is consistent with what we communicated to investors when we did the deal. In fact, the profitability is ahead of where we communicated to investors when we did the deal. So very much within expectations. Another thing, Rick, you asked about on the software side, just to fill in one more blank. The Viewpoint business did see a higher mix of subscriptions than perpetual, than what we expected. So if you would have seen more perpetual revenue, you would have seen that come just a little bit more into the quarter. And when that underlying revenue shifts to subscription, that's going to have an impact in the very short term in a individual quarter but is a very good thing for the mid- to long-term health of the business.
Richard Eastman - Robert W. Baird & Co., Inc.: Sure. Understood. Understood. And then, just a last question, when I look at the fourth quarter guide from a revenue perspective, it looks like maybe the midpoint of, what I'll call, the implied guide when you gave second quarter...
Robert G. Painter - Trimble, Inc.: Yeah.
Richard Eastman - Robert W. Baird & Co., Inc.: Yeah, is maybe down about $20 million. And my question is, I would think FX headwind might be 1 point or so in the fourth quarter. I mean that would be about a third of it. And then would the other, say, two-thirds kind of be these micro effects and some conservatism?
Robert G. Painter - Trimble, Inc.: You're pretty much spot on. So just to – yeah, if we level set on the revised range, that's a 13% to 17% growth year-over-year, so 15% at the mid. We would see M&A being 9% to 10% growth, organic, call it, in the 5% to 8% growth range, and then FX, a headwind of 1%. So when we look at that delta that you started with on the midpoint, I'd actually call about half of that FX as opposed to a third, but call it a little closer to a half than a third. And that hits really all the segments, albeit Transportation less so because that's more North American-centric, that business. And then the other half is a mix of the micro effects that Steve talked about and some of the trade, geopolitical.
Richard Eastman - Robert W. Baird & Co., Inc.: Okay. Okay. Very good. Thank you.
Robert G. Painter - Trimble, Inc.: You bet.
Operator: And our final question comes from the line of Colin Rusch with Oppenheimer.
Kristen Owen - Oppenheimer & Co., Inc.: Yes. Hi. This is Kristen on for Colin. Thank you for taking our questions. Just wanted to follow up on the transportation logistics, sort of rebranding that you announced at the in.sight user conference. Just wondering if you can provide some color. Is that indicative of these higher-level conversations that you're having? And where do you see the opportunities for cross-selling within that platform and sort of the information sharing that you're getting there?
Steven W. Berglund - Trimble, Inc.: Yeah. So I think the users conference was, shall we say, a major affirmation in terms of the view that there is significant opportunity for cross (58:39) sharing. So the PeopleNet and TMW acquisitions are now getting to be, what, six years ago. We were not in a rush to essentially kind of force a one brand concept there, because at the time PeopleNet had a distinct universe of customers. TMW had their own universe. There was some crossover, but it was kind of two distinct universes. I think consistent with the other Trimble businesses, this idea of being able to offer soup to nuts, being able to offer the comprehensive solution that engages both the enterprise and the mobile assets and look at it comprehensively has become more and more attractive as the technology has advanced. It's not universal. There are PeopleNet customers who use a competitor TMW and probably vice versa. That still exists and we're perfectly comfortable with that. But I think the opportunity for selling a comprehensive solution of offering the C-level suite at some of these companies, one-stop shopping with the advantages of full and complete integration, I think that has become increasingly more attractive. And we made the decision in the last, well, 12 to 18 months really to recognize the reality. So, this was really the rollout of the Trimble brand in Transportation, no equivocation. And I would say the response from the user group was highly enthusiastic to the idea of a Trimble brand as opposed to distinct TMW or PeopleNet brands. So, yeah, I think it was turned out to be a major success for us.
Kristen Owen - Oppenheimer & Co., Inc.: And then just as a follow up on that, you called out some strength in the mobility side of that business, maybe coming in ahead of expectations. Can you tell us what was the mix of mobility versus enterprise?
Robert G. Painter - Trimble, Inc.: Reasonably consistent with the mix we normally see, Kristen. But mobility, in the end, did push the whole segment – reporting segment up. The business had introduced some new product in the quarter and I think executed pretty well in the quarter as well to drive themselves forward. And if I even kind of, let's say, maybe up level it for that, well, the sentiment we hear from trucking companies at the moment is that the trucking companies are busy and the drivers shortages are gating factor in the industry. And then, at the same time, their costs are going up. So labor and gas is going up. And so, on one hand, you see pockets where trucking companies are too busy to pause and use the technology or implement the technology. And then in other pocket, you see them clamoring for the technology to help them retain drivers and optimize routes and increase the efficiency to handle the work. So, there's multiple things play at the same time here. And maybe the other thing too is given that mobility business has always been or historically been a subscription business, obviously, comes with the hardware at the beginning as well. I mean, there's an element of the cumulative effect of subscriber base there. So in aggregate, a really solid quarter from the teams in that segment.
Kristen Owen - Oppenheimer & Co., Inc.: And then, just the last question, you announced the GM Super Cruise program with Cadillac early on in the year. Saw that got really good positive reviews from Consumer Reports. We saw the announcement that they wanted to roll that out to their entire GM lineup by 2020. Does that have any implications for you guys in the autonomy space?
Robert G. Painter - Trimble, Inc.: I think it does. And when we think about the autonomy space, we'll tend to describe it as automation. And if you think about it in an automation context, there's both the historic markets we serve such as civil construction or heavy construction and agriculture being the two primary ones. And then these newer activities have been in more in the automotive space. So, I'd say the cumulative – going back to 40 years history of Trimble and leadership in positioning technologies, prevision – positioning technologies, whether it's GNSS, laser, optical, inertial, sensors, there's a legacy there that cumulatively plays forward into the markets that we've served. That continues to help us innovate, and we'll have some new stuff we'll be showing at Dimensions next week in that realm. And then as it goes into the automotive – in the automotive realm, we've seen business that we have – or businesses that we have really kind of Geospatial-oriented technologies for high-definition mapping that autonomous car companies are using and deploying, and it's driven business for us. We see demand for treating systems that we sell for, well, ultimately our autonomous applications. And finally, really to the point of what you described, GM Super Cruise, one of the – I'd call it, real star businesses we have in the Trimble – inside of Trimble is our correction services business. And so, it's the ability to get ubiquitous, absolute position, high convergence time, high accuracy, and historically have been used in more of the industrial applications and so has a role, and sensor fusion in the automotive space. And so, that does seem to be generating more interest whether it's from the tier 1s or from the OEMs themselves or even at the silicon-level providers. So, there's a number of different ways in which we see activity happening in that business.
Operator: Unfortunately, we have run out of time for questions. I'll now turn the call back over to Mr. Michael Leyba for closing remarks.
Michael Leyba - Trimble, Inc.: Thank you, Victoria, and thank you to everyone for attending today's call. We look forward to speaking to you again next quarter.
Operator: This concludes today's conference call. You may now disconnect.